Operator: Ladies and gentlemen, thank you for standing by. I'm Constantino, your Chorus Call operator. Welcome, and thank you for joining the Piraeus Financial Holdings Conference Call and Live Webcast to present and discuss Piraeus' First Quarter 2024 Financial Quarter 2024 Financial Results. All participants will be in listen-only mode and the conference is being recorded. The presentation will be followed by a question-and-answer session. [Operator Instructions] At this time, I would like to turn the conference over to Piraeus Financial Holdings' CEO, Mr. Christos Megalou. Mr. Megalou, you may now proceed.
Christos Megalou: Good afternoon, ladies and gentlemen, and welcome to today's conference call on our first quarter 2024 financial results. This is Christos Megalou, Chief Executive Officer, and I am joined today by our CFO, Theo Gnardellis, Chrys Berbati and Xenofon Damalas. The first quarter 2024 has been a milestone quarter for Piraeus, as it marked the bank's return to full privatized status with a successful offering of 27% of our share capital held by the HFSF. The total size of the transaction amounted to €1.35 billion very, the largest bank privatization transaction in recent years in Greece with total demand at approximately €11 billion far beyond any expectation. I would like to personally thank all the investors for participating in the offering process for the vote of confidence they castn Piraeus and the management of HFSF for its ongoing support to Piraeus during the period of its restructuring and transformation. Diving now into our Q1 2024 results. The year started strongly for Piraeus Bank, confirming good progress towards achieving or even exceeding our full-year targets. In the first quarter, Piraeus delivered another solid set of financial results with resilient top line, while our focus on cost containment and operating excellence remains. Slide 5 points out a summary of our Q1 performance highlights. In Q1, we generated normalized earnings of $0.21 per share, in line with full-year guidance of $0.80. We achieved a return on average tangible book of 16.5% against a full-year target of 14%. We delivered 10% recurring net revenue growth year-on-year, accompanied by satisfactory customer margins, low deposit beta, and new record high in net fees. Operating expenses were reduced by 5% year-on-year at recurring level with cost to core income ratio at best-in-class 29% on the back of our cost-efficiency efforts that offset inflationary headwinds. Q1 recorded our lowest-ever operating cost at €193 million. Importantly, cost of risk dropped to the historic low level of 17 basis points. Excluding NPE servicer fees and synthetic securitization costs, an outcome of a successful management of NPE inflows. Overall, asset quality dynamics remain solid with NPE ratio maintained at 3.5% and NPE coverage at 60%. We generated organic capital of circa 80 basis points in the quarter and reached a CET1 ratio of 13.7% and a total capital of 18.5%. As of Q1, we are stepping up the accrual of quarterly profits for 2024 plant shareholder distribution to 25%. Finally, in Q1, we increased our assets under management by 8% to €10 billion already meeting our end 2024 target. Slide 6 summarizes all the financial KPIs that summarize our performance. Indicating that in all lines, we continue the solid 2023 trends. The delivery paves the way for increasing distribution out of 2024 profits, subject of course to supervisory approval. Slide 7 covers our earnings results in further detail. As you can see, improved profitability resulted in tangible book value per share, reaching €5.27, up 13% annually, enhancing further the value proposition to our shareholders. Slide 8 depicts the trajectory of the core P&L line so far showcasing a number of records, namely the best quarterly performance for net fee income, operating expenses, and cost of risk for the quarter. Slides 9 to 11 present the detailed information regarding net interest income intrinsics with net interest margin at 2.7%, loan pass-through stable at the level of 80%, and deposit beta setting at 14% in March 2024. Against a guidance of 20% average deposit beta for the year, offering upside to our targets. Slides 12 and 13 outline the evolution of our net fee income, which increased by 19% year-on-year and reached €145 million in Q1. The Group has been consistently increasing its net fee income over assets, now reaching the market-leading level of 76 basis points. Piraeus's widening out performance in this metric versus its Greek peers is a result of our focused strategy on expanding and diversifying our revenue sources and our footprint. Our pursuit of further operating efficiency bears fruit despite the inflationary headwinds. We have managed to reduce our operating expenses by 5% year-on-year in the first quarter, as shown on Slide 14. The strong improvement in our operational efficiency kept cost to core income ratio at best-in-class 29%. Slide 15 provides a summary of our asset quality indicators. Our NPE ratio was maintained at 3.5% in the first quarter with breakeven new NPE formation. Meanwhile, Q1 organic cost of risk dropped to historical low 17 basis points, excluding NPE servicer fees and synthetic securitization costs. At the same time, NPE coverage remain at a prudent level of 60%. On Slides 16 and 17, we present the dynamics of our performing loan book. Setting aside early-year seasonality, the group's performing loan portfolio grew 6% annually and there is a strong pipeline ahead. Our leading position is confirmed by our disbursements utilizing RRF and My Home program, which combined are at approximately €500 million. Piraeus has a superior liquidity profile presented on Slides 18 and 19. Our deposit base is granular, stable, and of high quality enable the low deposit betas. Our liquidity ratios are all solid as evidenced by the 241% liquidity coverage ratio and the 62% loan-to-deposit ratio, both at the top range of the European spectrum. Turning to our capital base on Slide 20. A strong capital buildup of roughly 80 basis points in the first quarter drove CET1 ratio to 13.7% and total capital ratio to 18.5% in March 2024, while accounting for a 25% dividend payout. On Slide 21, you can see how our new wealth and asset management strategy continues to produce strong results with assets under management reaching €10 billion at the end of March '24, recording an 8% increase in Q1. Finally, on Slide 22, there is a summary of our KPIs, demonstrating that we are in line or outperforming in some areas our 2024 financial targets. Our strong Q1 results position Piraeus well among the broader group of regional peers. To give you some context on Slides 25 to 35, we present the key metrics for Piraeus versus domestic and regional peers. We benchmark ourselves in terms of return on average tangible book value. Credit expansion, net interest margin, net fee margin, cost to core income ratio, NPE ratio, cost of risk, and capital ratio. In all KPIs, we are now either at par or best-in-class, while we are growing our already sound capital buffers at an accelerated pace. We expect to generate significant value for our shareholders. I'm very happy to announce that 2024 is expected to be is expected to be the first year after 16 years that Piraeus will pay a cash dividend to its shareholders amounting to about €80 million for 2023 results. The relevant application for approval has been submitted to the ECB in mid-April ahead of our general shareholder meeting in June. At the same time, our quarterly capital generation capacity allowed us to step up the accrual for 2024 planned shareholder distribution to 25% as of Q1. In closing, we are proud to be the only Greek company to be included for the 4th consecutive year in the Financial Times list of Europe's Climate Leaders in 2024 due to the 74% five-year reduction of our own carbon emissions. And with that, let's now open the floor to your questions.
Operator: [Operator Instructions] The first question comes from the line of Demetriou Alex with Jefferies. Please go ahead.
Alex Demetriou: So just on the interest income from your fixed-income securities portfolio, so this seemed a little low this quarter with about the €900 million increase in size. Could you just confirm whether or not the balance grew mainly towards the end of the quarter and we feel likely to see a step up in the interest income from the next quarter from this? And finally, do you continue to expect the 100 million increase in 2024 versus 2023 from the fixed-income securities portfolio?
Christos Megalou: Yes, confirming both of your questions indeed, the buildup happened towards the end of the quarter and the waterfall that you see in the Q4 result still holds. I think all of the blocks there in the guidance and the NII result are confirmed, except I would say the deposit cost, and that has come in actually a little bit better than what this guidance implies.
Operator: The next question comes from the line of Ismailou Eleni with Axia Ventures.
Eleni Ismailou: I've got three questions from my end, if I may. So could you please give us some color on what will drive longer going forward and what will replace pricing in terms of spreads? Is there a quarterly lending volume, the one we saw volume, the one we saw in 1Q, in line with the budget so far? And when should we expect the early repayment effect to start fading away? That's question one. And the second one is that, I see that the CET1 capital incorporates a $70 million deduction for NPE calender shortfall. It’s related to the Greek state guaranteed exposures. Could you let us know if there will be any further impact with regards to this one? And if yes, when would that be? And lastly, with regards to shareholders' rewards, could you comment on how the discussions were related or progressing on the dividend? Thank you.
Christos Megalou: Hi, Eleni. Thank you very much for your questions. I'll cover your first question on loan growth. We had a quarter that we were expecting as per what happens seasonally every year and a little bit better, I might say. We confirm that because of our pipeline and the granular dialogue we have with the market and all that we expect to happen within the year, we confirm our guidance for the year for the net credit expansion that we came forward and we were happy to see that on the yield and spread front, we the portfolio is performing as per the plan and we have not seen any headwind. So confirming our guidance for the year on top line and loan growth. Regarding the spread part of your question, Eleni, I would say everything is progressing pretty much as we were expecting, quite a stable loan yield as per the entry rate at 6.55 PE. So an overall spread pretty much in line with expectation. New production is coming in mildly lower between 20 basis points or 30 basis points below the current stock. So which is all built into the guidance going forward. So a very good entry run rate on spreads, well defense, I would say new production. So that part of the NII guidance is pretty much where we wanted to be. You had a question on CET1 deductions regarding counter sold for the €70 million. Yes. So that has to do with calendar shortfall expectations expanding also to Greek state guarantees that are outside the NPE pool about €470 million. Given recovery expectations and given the fact that the recovery profile of such exposures is quite slow over the year, there will be some extra capital deductions over the coming three years, approximately an extra I would say €200 million something between €200 million and €230 million over the next and until the end over the next three years and until the end of 2026. That will happen gradually over time. All of that is baked into the plan and the capital guidance. It is not something over and above to what we have talked about. The above 14% guidance is clearly going to be met when we printed 13.3, sorry 13.6 in Q1. And so I would say even a more conservative scenario is baked into the guidance and that comes now to explain it.
Theo Gnardellis: And Eleni, just to cover your dividend question. First of all, for the '23 dividend, we have applied to the ECB and the process is running smoothly. We expect to be ready to approve in the AGN during June. As far as the '24 dividend accrual is concerned, Obviously, it all depends on the delivery of the 2024 plan. Once the plan is executed as per our projection, everything will become easier. So bear with us on that front, but so far so good.
Operator: The next question is from the line of Sevim Mehmet with JPMorgan.
Mehmet Sevim: I just had a couple of follow-up questions. One on the loan growth, which was relatively weak in the first quarter and you're citing seasonal prepayments from the corporate sector. Could you please tell us why you're seeing seasonal repayments just for some more color? And have you seen anything different in the second quarter so far? So I was just trying to understand what is basically leading to the seasonal prepayments in the first quarter of the year. And my second question was on NII and specifically the hedging position during the first quarter. Have you opened any new positions on top of what you had already, which was, if I'm not mistaken, about €10 billion in volume? And finally, just on other income, which was quite a big negative this quarter, and I think some of it is related to the offering and the placement. Could you please give us any color why it's so high? I mean, I think it's quite surprising that 43 million amount, what kind of costs are in there? Any additional color would be very helpful.
Christos Megalou: Just on the loan growth, first, as far as the quarter we are running now, the second quarter is concerned, we've seen the payments drying up and growth as per the plan. This is, as we said, seasonal in the sense that it always happens like that. The second quarter usually is one of the strongest, the second and the fourth quarter. The first quarter is always weak and it's due to the repayments, is just for seasonal nature. A lot of the companies that have been accumulating balances towards the end of the year, they are paying at the beginning of the year and then coming up again as we move forward. It's a pattern that we have seen year in and year out, but I confirm that on the second quarter, we are starting with a strong footing and as I said, we expect to confirm our guidance. That we expect we are confirming our guidance for the year as we certainly are. Theo?
Theo Gnardellis: So, Mehmet, I think second question, NMD hedges. We, I mean, we closed the year at 7 billion NMD position. We actually started the year building it up to 10 billion. We have basically run through the entire quarter at this position and it's not expected to change. The 21 million is really the effect of a fixed rate received 3.1, paying variable approximately 3.9 and there you have it, it's your 20 million cost. For the quarter, pretty much aligned to what we also discussed in Q4. In the waterfall, we had talked about €0.1 billion of NII impact on the back of this position. This is happening pretty much as expected. As said, the guidance of €1.9 billion for NII for the year has been beaten in Q1 on the back of primarily a much lower deposit costs than the original plant. To your other income question, I mean, yes, it was a €43 million advisor fee pool. It was a very large transaction. It was a full privatization of 27% stake, total consideration of about €1.3 billion. In terms of percent of the actual consideration received very much in line with market and it's something that I think was also known from previous disclosures. So it was clearly a one-off, hence, it's one of those one-offs that are really very hard one-offs, the 233 profit print, it is affecting reality a 280 print in terms of normalized returns.
Operator: The next question comes from the line of Butkov Mikhail with Goldman Sachs.
Mikhail Butkov : Good day. Thank you very much for the presentation. I have a couple of questions. One more on hedges, please. So, is it correct that while excluding your hedges for this quarter, your NII was basically flat, meaning that on underlying basis, you did not really see the impact of deposits repricing putting pressure on NII? And what is the overall cost of hedges, if you can disclose? Do you did you incorporate for the full year '24? And what benefit from them do we see in the year after? So that's the first question. The second question is on medium-term outlook for dividends. Do you expect any other criteria on the top of those which we already know? For example, the criteria related to DTCs to be as an important one when considering the plans to get to the 50% payout ratio, and to what extent it will be? Yes, it will be significant in decision-making by the ECB. And finally, so taking into account that macro situation in Greece is improving and credit quality of previously sold NPEs by banks may also improve. Do you think there is any way that you may buy back some of those previously sold NPE exposures as an alternative use for the capital?
Christos Megalou: Hi, Mikhail. Yes, indeed. I mean, we have plateaued, gross of the NMD cost, we have plateaued at around €540 million NII 539, if I remember correctly, on a 21 million quarterly cost of NMDs to reach that 517 print. And so no pressures from deposits. We had expected on average a 50 million additional interest expense from deposits in '24 versus the average of '23. Hence, again, reverting to the waterfall of the Q4 result, a 200 million headwind on the NII of '24 versus '23, so this is not happening right now. On average, we're actually running given Q1 and 120 million tailwind versus guidance as we speak. Just to catch you before you jump to it, we're not updating the guidance right now. We want to see also interest rate evolution before we come back to you in Q2. The cost of hedges, as we discussed right now, it's approximately 80 basis points given the current Euribor position on a 10 billion exposure, 80 million a year, 20 million per quarter. When do we see the benefit? The moment, Euribor crosses below 3.1% and it starts becoming beneficial. And now take your best guess as to when that will be. On our plan, we're assuming a neutral impact of these positions in '25 and a corresponding benefit in '26 versus the cost of '24. So it's a zero-sum game, but a stabilizer between the, I would say, big NII of 24 versus a more compressed NII in '26 given the expectation on the risk-free rate.
Theo Gnardellis: And regarding dividend, on the dividend, Mikhail, I just want to reiterate, it's early in the year, what is most important is to deliver the '24 plan as per the plan that we have in question and you know very well. This is the first quarter is an indication that we are on a very good track for delivery. And of course, once the plan is executed, then the dialogue becomes much easier. Of course, there is an ongoing dialogue as we have already said with the regulators about the dividend and we intend to deliver as per our plan in order to facilitate this discussion.
Christos Megalou: I think, Mikhail, you had a final question on HAPS pre-performing exposures and the potentiality of deploying capital into buying those back. As we've said many times, not baked into our credit expansion plans, not depending on that. It is a very large pool of paying customers that's being incubated in the services right now, but absolutely need to find their way one way or another back into the banking system. Technically, it's a bit more difficult than believed. We need to have historical information of material payments from these borrowers. No characteristics in their restructurings that might threaten the potentiality of Stage 1 classification. So no step-ups or big bullets at the end of these exposures. All of these things that exist in large pool of the performance today can create a risk can create a risk for a potential reclassification in Stage 2 and Stage 3. So we absolutely want to do that. We're monitoring the market, we're looking at opportunities. Right now, we haven't seen any material transactions in play to allow us to invest effort in getting this done. Our number one priority is to defend the NPE ratio and not to pollute the book with questionable exposures that might be reclassified in the future. So it is definitely an opportunity for the future. But we think it needs some more work until it matures into something material.
Operator: The next question comes from the line of Saraoglu Cihan with HSBC.
Cihan Saraoglu: I have a rather quick question. I noticed that in your Q4 presentation, you had your GDP growth assumptions for this and next year at 3%, but in this one, you have it at 2%. So how does this affect your cost of risk assumptions? Is your IFRS 9 model already updated for this? That's the first question. And the second one is, so underlying cost of risk this quarter was 17 basis points and I think your budget was somewhere around 50 basis points underlying plus the fees. Do you see any positive risks to that cost of risk assumption for this year? Thank you.
Christos Megalou: Hi, Cihan. Yes, after the 2023 announcement of GDP and the starting of its effect in 2024, we updated the macro expectations pretty much in line, I would say with your fiscal sector consensus now. The IFRS models are updated. Let's also notice that in terms of real estate expectation and real estate prices, things are actually now improved versus previous situation. So it's not just GDP, it's the whole thing that counts. There was a very minor impact that's now baked into the numbers in terms of adjustments. And as we've said many times, the credit expansion and the balance sheet expectation is not really affected by this. So, nothing to write home about there. I mean, well spotted on the cost of risk. We have basically printed what we said even better than what we said we're going to be in two years from now. And we cannot deny that both in terms of as we said on NII, but also in terms of cost of risk, there are upside risk whispers, let's just call it like that for now. I would say, we want to see another quarter before we upgrade our guidance there, but things are looking good.
Operator: The next question comes from the line of Gabor Kemeny with Autonomous Research. Please go ahead.
Gabor Kemeny: Hi, everyone. Just a couple of quick questions from me. First one on the state-guaranteed loans where you put through some capital deductions we discussed already on the call. Is there a scenario where this could impact your P&L or would this only come in the form additional capital deductions? And my other question was on your repossessed assets. I believe you had around €2 billion of foreclosed assets. What is your strategy on reducing this exposure? And when you talk to the regulators, including the ECB, what do you think is their view on this portfolio?
Christos Megalou: The fee guarantee, I would say will primarily impact capital through capital deductions. The P& L impact that is budgeted for the loan part, I would say of these assets, the whatever 300 million that is already included in the loan book and mostly those NPEs is evolving as planned and that was that was the P&L effect that was already in the guidance. The extra piece is capital reductions that we discussed already for that 470 million that is in the other assets line. This is where the marginal impact comes from. And that is, as we said, already incorporated in the capital guidance. Your question about repossessed assets, yes. Repossessed assets in Piraeus Bank, the strategy is obviously to accumulate that volume and we're working already with two servicers that we have delegated management and soon we'll be able to make some to give you some extra news on extra collaborations we are putting in place to accelerate the sale of these assets. What we like very much is that these assets and the sales that are not happening are happening at a profit versus book. So they're not really dragging, they're not really any more a drag to the P&L. The focus is right now to operationally accelerate the sales, also leveraging on the new initiatives of the government for digitization of land registries, acceleration of the judicial process and legalization techniques that we need to mature those assets and have them sold. That's one part of the strategy. I have to tell you that this book also it has come from ex-collaterals that the bank has bought during its NPE accumulation strategy, has some very good pieces also there as well that we will be leveraging to increase also our rental income going forward. As an exception, I would say rather than a rule, but still contributing substantially to the overall noninterest income line. Now allow me not to disclose what we're discussing with our supervisors exactly, but let's just say that repossessed assets are obviously something to accumulate over time and it is a strategy that's well articulated in our ICAP and overall business plans. And that improvement is being monitored by all related parties.
Gabor Kemeny: Can you give us a sense what sort of reduction has been factored into your 2026 business plan, please?
Christos Megalou: Well, right now, we are expecting a net drop of about 150 million per annum with simply from organic services-driven divestments.
Operator: [Operator Instructions] The next question comes from the line of Osman Memisoglu with Ambrosia Capital.
Osman Memisoglu: Hello, many thanks for your presentation and your time. A few quick ones on my side, please. The repricing of time deposits seems quite limited in Q1. Just curious how it is evolving, if at all, in April. That's my first one. Second one, fee income strength, which I thought was quite impressive for a relatively slow loan quarter season in Q1. I was wondering if there are any one-offs maybe in Investment Banking. And if not, is there a clear upside in this part of the P&L as well? And then the final one, just a small one, the one-offs in capital, maybe I missed it, the 0.2% in capital in your slide. What were they for broadly?
Christos Megalou: Hi Osman. The TD repricing is happening pretty much at stock levels right now, maybe 10 basis points higher, but overall I would say we have plateaued on the overall deposit costs, both in terms of the TD cost, as well as the mix, which basically drives the NII tailwind versus guidance we've spoken about before. And fee income, indeed, it is, I would say, the most resilient result of stable fee income Q1 to Q4. Remember, of course, that financing fees are driven by dispersals and not the net expansion, and dispersals were quite strong. But overall, even if you look at it line by line as we guided on Page 44, all the lines are kind of stable, which talks about the resilience of the fee income line of the franchise as we are right now. The one-off on the capital is what we discussed about before the deduction that's happened on the back of our state guarantees.
Operator: Ladies and gentlemen, there are no further questions at this time. I will now turn the conference over to Mr. Megalou for any closing comments. Thank you.
Christos Megalou: Thank you all for participating in our first quarter 2024 results conference call. We look forward to discussing with you all physically or visually during our investor outreach program. And for all our Greek Orthodox participants, I would like to wish you all Happy Easter. Thank you very much.
Operator: Ladies and gentlemen, the conference is now concluded and you may disconnect your telephone. Thank you for calling and have a good afternoon.